Operator: Ladies and gentlemen, thank you for standing and welcome to the Newpark Resources third quarter earnings conference call. During today’s presentation, all participants will be in a listen-only mode. Following the presentation, the conference will be open for your questions and instructions will be given at that time. Today’s conference is being recorded, October 26th, 2012. I would like to turn the conference over to our Ken Dennard of DRG&L. Please go ahead.
Ken Dennard: Thanks and good morning, everyone. We appreciate you joining us for the Newpark Resources conference call today to review 2012 third quarter results. We’d also like to welcome our Internet participants listening to the call being simulcast over the Web. Before I turn the call over to management, I have the normal housekeeping details to run through. For those of you who did not receive an email of the release yesterday afternoon and would like be added to our distribution list, please call our offices at DRG&L, at number 713 529-6600, and provide us that contact information, or you can email me on my email address, which is on the press release. There will be a replay of today’s call. It will be available via webcast on the Company’s website at www.newpark.com. There’ll also be a recorded replay that will be available through November 9th, and that information is in the press release. Please note that information reported on this call speaks only as of today, October 26th, 2012, and therefore, you are advised that any time-sensitive information may no longer accurate as of the time of any replay listening. In addition, the comments made by management today of Newpark during the call may contain forward-looking statements within the meaning of the United States Federal Securities laws. These forward-looking statements reflect the current views of the management of Newpark. However, various risks, uncertainties and contingencies could cause Newpark’s actual results, performance or achievements to differ materially from those expressed in the statements made by management. Listeners are encouraged to read the Company’s annual report on Form 10-K, its quarterly reports on Form 10-Q and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies. And now, with that behind me, let me turn the call over to Newpark’s President and CEO, Mr. Paul Howes. Paul?
Paul Howes: Thank you, Ken, and good morning to everyone. We’d like to thank you for joining us today for our third quarter 2012 conference call. With me today are Bruce Smith, President of our Drilling Fluids business, and Gregg Piontek, our Chief Financial Officer. Following my opening remarks, Bruce will provide an update on our Fluids business and Gregg will discuss the Mats and Environmental Service segments, as well as the consolidated financial results of the quarter. I will then conclude with a discussion of our market outlook before opening the call for Q&A. Now turning our attention to the third quarter. Despite a challenging North America drilling market, we are pleased to report sequential improvements in both our Fluids and Mats segments, with total revenues for the third quarter of 2012 up 6% sequentially to $260 million and down less than 1% from the third quarter last year. Operating income was up more than 16% sequentially to $29 million, but down 27% from the same period a year ago. Our net income per diluted share for the quarter was $0.20 compared to $0.15 in the second quarter of 2012 and $0.23 a year ago. Our worldwide Fluids business posted revenues of $211 million for the third quarter of 2012, a 5% sequential increase. This increase is driven by the strong performance of our international regions, which contributed $61 million of revenues in the third quarter, up 15% from the prior quarter. Specifically, we saw strong growth in Brazil and Asia-Pacific, as revenues from both regions were up in excess of 20% from the second quarter. Our work in Brazil is benefitting from our relationship with Petrobras, while our Asia-Pacific unit benefitted from the startup of two-year offshore contract that began late in the second quarter. Revenues from the Europe, Middle East and Africa region also improved sequentially as the ramp-up continues on our contract in Algeria. In North America, revenues were up slightly on a sequential basis to $151 million as the seasonal recovery in Canada offset declines in the US business resulting from lower rig count. Our Mats and Integrated Services business posted another strong quarter, achieving a record level above revenue and operating income. As the gas drilling rig count continues to decline, we’re seeing our competitors respond with more aggressive pricing, leading to an overall weakening in the US rental market. For the quarter, however, this is offset by strong mat sales, including a large sale for an infrastructure project in the utility industry, along with an improvement in our international rental business in the United Kingdom which benefitted from the Summer Olympics. In our Environmental Service business, revenues were $13 million in the quarter, down 2% from the second quarter. Although the business was negatively impacted by Hurricane Isaac, we were able to reopen our locations more quickly than our competitors, thus minimizing the storm’s impact on revenue. While continuing to face a challenging market in the US, our third quarter results demonstrated the importance of our efforts to diversify and expand our business globally. Our Mats and Integrated Service segment, our Latin American fluids business, and our Asia-Pacific fluids business all posted record-levels of revenue and operating income in the third quarter, which helped offset the continued weakness in the North American fluids business. With that, now let me turn the call over to Bruce Smith, who will review the performance of our Fluids business.
Bruce Smith: Thanks, Paul. Good morning. For the third quarter, total revenues in the Fluids Systems and Engineering segment were $211 million, representing a 2% year-over-year decrease and a 5% sequential increase. North American revenues were $151 million, down 4% from the third quarter of last year, but up slightly on a sequential basis. In the US, revenues were down approximately 2% year-over-year and down 1% from the second quarter. The sequential decline actually represents a favorable comparison to the 3% decline in the US rig count over this period. Total [ph] activity level was down with the lower drilling activity. Our third quarter revenue included higher volumes of lower-margin products, namely barite, a traditional oil-based mud, along with a higher level of pass-through equipment rental revenues which also carry a low margin. So while these specific areas help to strengthen revenues in the quarter, they provided minimal benefit to operating income. In addition, while corrective actions in our Mid-Continent Completion Services and Equipment Rental business have continued, this market remains highly competitive, leaving to a sequential decline in both revenues and operating income for this business unit. In Canada, we experienced the usual seasonal improvement. So as we indicated in our previous call, this year’s recovery has not been as robust as past years and remains hampered by the weak natural gas pricing. Canadian revenues were down 24% from last year’s third quarter and were up 41% sequentially. Although the year-over-year decline is significant, I would note that it is well in line with the 26% decline in Canadian rig count over the same period. As a result of all these factors, our North American operating income declined sequentially by $1.7 million, while North American revenues remained essentially flat. Despite the headwinds in the North American market, sales of Evolution in the third quarter totaled $29 million, a $2 million sequential increase. We experienced a pickup in sales in the Eagle Ford and have introduced Evolution in East Texas play called the Woodbine, all wells and both plays meeting with excellent operating results to date. Importantly, the success of the technology has resulted in raising our profile with other operators including IOCs. As mentioned in the last earnings call, we expect Evolution to be used for the first time [ph] outside of North America before the end of the year for an IOC in the Europe, Middle East and Africa region. Looking ahead, we remain focused on continually expanding and enhancing our family of high-performance water-based systems as we build upon our platform as a recognized technology leader in the industry. Turning now to our International Fluids business. We are very pleased with our results from all regions as total international revenues grew 3% year-over-year to $61 million, which is a 15% sequential increase. While revenues from our Europe, Middle East and Africa region were down 9% from a year ago to $28 million, this represents at a 9% sequential improvement. The sequential gain was primarily driven by Algeria, where activity under the new Sonatrach contract continues to ramp up. While increasing, we’ve not yet seen the full impact of the new contract as the ramp-up has been slowed somewhat by the contract renewal process with all of the service vendors. Therefore, we anticipate a gradual ramp-up in the near term as they work through this process and expect to see the full impact sometime in early 2013. In Brazil, we achieved a record quarter for both revenues and operating income. Revenues were up 10% year-over-year to $22 million and up 22% sequentially. The gains were primarily driven by Petrobras’ strong deepwater activity and increased demand for our products and services, along with continued IOC business. In the Asia-Pacific region, revenues were $11 million for the third quarter, up 32% from a year ago and up 23% sequentially. Like Brazil, record revenues and operating income were achieved following the start of our Santos contract where we provide fluids, products and services for their activity on Australia’s Northwest Continental Shelf. Since acquiring this business midway through the second quarter of 2011, we’ve been in Asia-Pacific for a full year and are extremely pleased with the performance thus far. Going forward, we’re encouraged about our growth prospects for our drilling fluids operations in this region. The Consolidated Fluid segment reported operating income of $14.8 million in the third quarter compared with $25.6 million a year ago, and $13.5 million in the second quarter of 2012. The operating margin for the segment in the third quarter was 7% compared to 11.9% a year ago and 6.7% for the second quarter. In last quarter’s update, we noted that we expected the operating margin for the fluid segment to return to the historical level 11% range by the end of the year. While our International business is on track with our expectations, the challenges in North America are creating headwinds to our rate of improvement. Therefore, while profit improvement initiatives continue, we expect to see further improvement in the fourth quarter. We now expect the recovery to a double-digit margin to progress more slowly than previously indicated. Finally, I’d like to mention that construction work in our technology center is progressing and remains on schedule for completion in mid-2013. As we stated before, this center represents some major initiative and furthering the development and growth of our growing Fluids business. The technological differentiation of our fluid systems is further going [ph] to our customer success and it’s our intent to stay on the forefront of innovation by continually building on our family of high-performance water-based systems. With that, I’ll now turn the call over to our CFO, Gregg Piontek.
Gregg Piontek: Thank you, Bruce, and good morning, everyone. I’ll begin by discussing the result of our Mats and Integrated Services business before moving onto the Environmental Services business and finishing with our consolidated results. The Mats and Integrated Services segment had a very strong third quarter, reporting $35 million in revenues, a 16% increase over the same quarter of last year, and a 17% sequential increase. Our composite mat sales saw a healthy demand and sales were strong enough to compensate for a decline in the rental revenues that resulted from reduced natural gas drilling and increasing pricing pressure. Total revenues for mat sales were $20.5 million and benefitted from a large sale for an infrastructure project in the utility industry. On the rental side, we are continuing to see modest declines in the US rental business, driven by lower activity in our key markets. However, the declines in the US were somewhat offset by a strong third quarter from our rental business in the UK, which benefitted from the Summer Olympics. The Mats segment generated operating income of $16 million in the third quarter, up 10% from the third quarter of 2011 and up 22% sequentially. Operating margin in the quarter was 46% as compared to 48% in the same quarter a year ago, and 44% in the second quarter of 2012. Looking ahead, we expect our mat sale revenues to return to a more normal historical level in the fourth quarter. In addition, we expect to see rental revenues continue to trend modestly downward, which will naturally bring operating margins back down toward the 40% range. Now moving on to our Environmental Services business. Revenues in this segment were $13 million, down 12% year-over-year and down 2% sequentially. While Hurricane Isaac did force a shutdown of our Gulf Coast locations during the quarter, our team was able to quickly recover and restore operating activities, serving to minimize the storm’s impact on our third-quarter results. Operating income in our Environment Services segment was $3.1 million compared to $5 million in the same quarter a year ago, and $3.5 million in the second quarter of 2012. Operating margin for this segment was 24% compared to 33% a year ago and 26% in the second quarter. Looking ahead with the continued signs of recovery in offshore drilling in the Gulf, we remain hopeful that we will see a meaningful pickup in activity, which would have a favorable impact on our revenue and operating margin. Now moving on to our consolidated results. For the third quarter of 2012, we reported total revenues of $260 million, a 1% year-over-year decrease and a 6% sequential increase. Operating income was $29 million in the third quarter, down 27% from the third quarter of 2011, but up 16% sequentially. Net income in the third quarter was $18.7 million or $0.20 per diluted share as compared to $23 million or $0.23 per diluted share a year ago, and $14.5 million or $0.15 per diluted share in the second quarter. The third quarter 2012 tax rate was 28.3%. Tax expense in the quarter included a $1 million benefit associated with an increase in US tax deductions identified for prior years as we finalize our 2011 US tax filings during the period. The benefit impacted our diluted EPS favorably by about $0.01 and we expect our full-year 2012 tax rate to be between 32% and 33%. Now, let me discuss our cash and liquidity position. Over the last several quarters, we have worked to improve the rate of customer invoicing as our unbilled receivables grew significantly following our fourth quarter 2011 ERP system conversion within the US fluids business. As we highlighted last quarter, as of the end of the second quarter, our receivable balance for the US fluids business remained approximately $70 million higher than the level at system conversion. During the third quarter, we made meaningful progress, reducing our receivables in this business unit by $34 million, or about half of the $70 million target. Total consolidated receivables ended the third quarter at $312 million, about $22 million down from the previous quarter. While significant progress has been made, our US fluids receivables are still more than $35 million higher than our system conversion level, and we expect to see further receivable reductions in the near term. Looking to the consolidated third quarter cash flows, operating activities generated cash of $65 million. We used $9 million to fund capital expenditures along with $11 million to fund share repurchases. As a result, the amount outstanding under our revolving credit facility decreased by $38 million. We ended the third quarter with cash of $35 million and a revolving credit facility balance of $28 million. Our total debt at the end of the third quarter was $202 million, with the resulting debt to capitalization ratio of 28.2%. Through the first nine months of 2012, capital expenditures totaled $35 million and we now expect our total 2012 capital spending to be in the range of $40 million to $45 million and include the expenditures towards our new technology center in the Fluids business. The reduction from our previous full-year estimate of $50 million to $60 million is primarily due to the deferral of projects into 2013. During the third quarter, we continued repurchasing shares under our $50 million share repurchase program announced earlier this year. From the inception of the program through October 25th, we have used $44 million to purchase 6.4 million shares, which is about 7% of shares outstanding at the beginning of the year. Now, I’d like to turn the call back over to Paul for his concluding remarks.
Paul Howes: Thank you, Gregg. We’re very pleased with the overall performance of our business, with record revenue and profitability in our Latin American and Asia-Pacific Drilling Fluids business, to a solid rebound in our Europe, Middle East and African region. The performance of our North American fluids business has improved since the first quarter, but as Bruce said, we still have work ahead of us in order to return the operating margins to historical levels. Our Mats business saw record revenue and profitability. It’s clear that we have come a long way in diversifying our customer base in expanding the geographical markets we serve. Going forward, we do see some headwinds in the fourth quarter, but over the longer term, we are convinced that this business will remain a consistent and valuable contributor to our performance. Our environmental service business performed well in the quarter given the impact from Hurricane Isaac. But as Gregg mentioned, we were able to restart operations faster than our competition, a testament to the operational expertise of this group. We’d like now to talk about a few key elements for our corporate strategy, starting first with our focus on technology. Historically, Newpark was not viewed as a technology-driven company, and quite honestly, we weren’t. But over the last two years, I can tell you that Newpark is being recognized as a technology driller in the drilling fluids market, and it’s just beginning. With the opening of the new technology center in June of 2013, our capabilities to bring new and innovative fluid solutions to the market will be accelerating. A similar story can be told about our Mats business. The Mats business started out as a non-differentiated supplier of wood mats and an experimental composite mat called DURA-BASE. Today, we’re no longer involved in wood mats and our DURA-BASE product line is being recognized as the market leader for environmental solutions on the drilling site. And just like our Drilling Fluids business, we continue to bring new and innovative technology to the market, most notably our spill management system that will be ready for field deployment by the end of the fourth quarter. More to come on this topic on our next call. So whether we’re talking about our Drilling Fluids business or our Mats business, an evolution is taking place at Newpark, an evolution that will act as a catalyst for growth next year and for the years to come both here in North America and around the world. At Newpark, we’re constantly working to provide solutions to our customers that are cleaner, faster and smarter. Another key element of our strategy has been our focus on international expansion. As you have seen from this quarter, we’re now approaching $250 million in annualized revenues outside of North America, a key element of our goal to balance the geographic sources of our revenues. This quarter and for the last several years, we have seen progress on that front, as our international businesses continue to grow and strengthen. While we have bases of operations in place in many parts of the world, there remain many opportunities for additional growth in the international market, and we will continue executing this part of our strategy. And one final comment on market conditions before we open the call to questions. Given the recent decline in rig activity, we are hesitant to say that the North American has stabilized. However, we remain optimistic longer term about the North American market as well as our international opportunities as we continue to expand our global footprint. With that, we will now take your questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator instructions) And our first question comes from the line of Marshall Adkins with Raymond James. Please go ahead.
Marshall Adkins – Raymond James & Associates: Good morning, guys.
Paul Howes: Good morning, Marshall.
Marshall Adkins – Raymond James & Associates: So mat business on fire, obviously, it sounds like some of that was a one-time stuff. And you gave some good guidance on margins. From a revenue perspective, should we look at that as returning to counter the run rate of the first and second quarter, with the 40% margins or do you think we’ll fall below that?
Gregg Piontek: Marshall, this is Gregg. I’ll take that, breaking it up into two pieces. First of all with the mats sale side, yes, that’s what we would expect. That was a very large sale that benefitted the quarter that we wouldn’t expect to recur. So I would expect that piece to return more to that historical low-to-mid teen level that we had been running for several quarters previously. On the US rental side of things, it has been sliding and as we’ve talked about on previous calls, it’s been kind of modestly deteriorating over the past four quarters, and we do see that continuing given the current headwinds in the market. Now, weather and other factors can always play a quick role and change the direction especially up in the Northeast, in the Bakken, in those areas. So that one is a little more difficult to predict, but we would expect to see that continue to slide a little bit.
Marshall Adkins – Raymond James & Associates: Yes, so modestly lower than where you run first half?
Gregg Piontek: Yes.
Marshall Adkins – Raymond James & Associates: Okay. Environmental looked awesome and it sounds like since that is mainly Gulf of Mexico driven, that business seems to be – is really one of the bright spots. Can you just give us a little more color on where we should think about that going both from revenue and a margin perspective?
Paul Howes: Sure, Marshall. This is Paul. If you look at the Gulf of Mexico, obviously, the rig count has been increasing in deepwater and that’s where we have our strongest market share, and we’ve got over 6% of the deepwater market. And with the increasing level of permits, we expect to see more activities. We move into hopefully the fourth quarter, as well into the first part of next year. As Gregg mentioned, we would expect to see some operating margins improve some over that timeframe. So we’re very pleased with that business. It’s always been a strong generator of cash even through to 2009 and certainly very pleased with how they came out of the Hurricane Isaac and positioning the business for growth going forward.
Marshall Adkins – Raymond James & Associates: So look for continued improvement going forward in that business, presumably?
Paul Howes: Yes. I would say some modest improvements going forward. A lot obviously is dictated by the business turning the right and the permits being issued.
Marshall Adkins – Raymond James & Associates: Last one for me and I’ll turn it over. You’ve kind of teased us to this whole spill management thing. So you can’t be Donald Trump. You’ve got to give us a little more detail on what you got going.
Paul Howes: Right. We’ve talked about it on prior calls. Obviously, what we’ve been trying to do is take the DURA-BASE product line which provides just the platform that you can put heavy equipment on and protect the environment, but provide more to a different level of a system solution, so taking it to a concept where we can be able to drive the frack, lead [ph] onto the mats, have polymer berms that would run the perimeter of it, so that if you did have a rupture of one of the lines during the fracking process that you would be able to contain that volume of fluid for a period of time until you get your pumps on there and contain the spill. So that’s the concept. It’s really trying to move DURA-BASE to a system solution where we think there’s a demand within the market place.
Marshall Adkins – Raymond James & Associates: Perfect. Thank you all.
Operator: Thank you.
Paul Howes: Thank you, Marshall.
Operator: Our next question comes from the line of Jeff Spittel with Global Hunter Securities. Please go ahead.
Jeff Spittel – Global Hunter Securities: Thanks. Good morning, fellows.
Paul Howes: Good morning.
Jeff Spittel – Global Hunter Securities: Maybe we could talk a little bit about the fluids margin progression, understanding that there’s a lot of uncertainty in the North America near term. But given what we know today and a flat to maybe slightly down rig count environment, over the course of, say, the next three or four quarters, would it be totally unreasonable to think that maybe margins could start to turn back up to say at low double digits by the time we get into the second half of 2013?
Bruce Smith: This is Bruce. I think that’s a fair comment. Directionally, we feel the margins will continue to increase just not at the rate we’d hoped. But directionally, upwards, that’s correct. As the recent declines, there is more pricing pressure that comes. So obtaining margins with pricing that becomes a little more difficult on our conventional systems. But when Evolution’s performance ability to impact overall well cost, then the fact that there’s nothing [ph] anything out there currently competing with us makes that part of our business less susceptible to pricing pressure.
Jeff Spittel – Global Hunter Securities: Appreciate that. And I guess that doesn’t necessarily contemplate that you’re going to see a big step change in terms of one of the major IOCs stepping in and starting to move forward on Evolution more aggressively. That’s kind of a normalized run rate of business. Is that fair to say?
Bruce Smith: That’s correct. It’s a normalized run rate.
Jeff Spittel – Global Hunter Securities: Okay. And then one more question on fluids. Canada obviously was pretty challenging in the third quarter. Would we continue to expect a little bit of a muted rebound, down year-over-year but probably up sequentially in the fourth quarter in accordance with kind of normal seasonality in Canada?
Bruce Smith: That’s absolutely correct. It will be a little better than the third quarter, but not to the level of the fourth quarter last year.
Jeff Spittel – Global Hunter Securities: Great, helpful. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Neal Dingman with SunTrust. Please go ahead.
Neal Dingman – SunTrust Robinson Humphrey: Hey, good morning, guys.
Paul Howes: Good morning.
Neal Dingman – SunTrust Robinson Humphrey: Hey, just a quick follow-up on that as far as the fluid margin question. I thought a little bit earlier when you’d got the hit – maybe a question to Bruce – that it was largely because of the barite and then because the business in Oklahoma, I’m just wondering, you’re kind of now referencing more just, I guess, pricing pressure, in general. So I’m wondering where we sit kind of with the barite, and I forget the name of the company in Oklahoma, kind of the non-fluid business there. I wonder if that’s still an issue or if those are rebounding and if that’s going to be part of – if those are kind of taking longer to actually come back or just maybe a little more color on this margin.
Bruce Smith: Barite, at the moment, certainly continues to be a challenge. We’re working very hard to try and pass on the cost that we’re getting onto our customers. But that’s a process that has a lag time. Within the MCCF business, which is the business in Oklahoma that you’re referencing, that continues to be a challenge. But we’re very focused on two parts of that business. We’re very focused on driving the revenue side of the business and concurrent with that, we’re very focused on getting some significant cost reductions in place. And we are doing that. The cost reductions are in place, the costs are coming down, and we’re working on both of those elements concurrently.
Gregg Piontek: And Neil, there are previous reference or early reference to the barite. It is really a sales mix issue that we had in the period, because your base-oil muds, your traditional oil muds and your barite is a lower margin and we just had a higher component of that during the quarter. So that was the reference.
Neal Dingman – SunTrust Robinson Humphrey: That was just more one-timer, Gregg, you’re saying?
Gregg Piontek: Yes. Your mix shift tends to go back and forth period to period, and in this particular, we just had a higher mix of those low-margin items, which as Bruce pointed out, those served to make that revenue line look a little stronger versus the activity levels, but it does little to your bottom line.
Neal Dingman – SunTrust Robinson Humphrey: Got it. And then just one follow-up, maybe again for Bruce, just on evolution. Again, I know last quarter you talked about the first job internationally, then I think the prior quarter to that, so maybe going back to either the first or fourth quarter there was talk about a high-pressure job. I think it was out in the Rockies. And so I’m just wondering now, when you’re looking at these jobs where all those – I guess if you could talk a little bit about how successful those jobs were and if those same customers are now reoccurring customers. And I guess in general, maybe for Paul, just if that the customer base is still growing or is it just kind of the existing base has just seen more usage?
Bruce Smith: Okay. Several points there. Let’s see if I can remember them all. The total Evolution wells that we’ve drilled to date now are approaching 1,400 wells, which was up from about 1,100 wells, I believe, in the last quarter. In terms of the amount of operators that have used the system, that’s gone up 18 since last quarter. We’re now running about 172 different operators have used the system over periods since its inception. So in terms of that growth [ph], that still continues. The well that’s occurring now in the Middle East and Africa, part of our business, the well has spudded. We don’t have results back yet from the performance, but the well has spudded and it’s currently ongoing.
Neal Dingman – SunTrust Robinson Humphrey: Got it. That’s a great call. And then I’m just wondering, just maybe a comment from Paul, if I could. Obviously, that sounds like you definitely have the comp and it continues [ph] to grow. You kind of see, I guess, is this more sporadic or, Paul, do you see a ramp kind of continuing as we’ve seen in the last year or so?
Paul Howes: Excuse me. No, I don’t see it as being sporadic at all. I mean, we’re very confident around the growth of Evolution both here and domestically, and as it’s going overseas. The other thing I would also say though that we continue to look at new polymer systems, water-based technology to continue to expand on the base of our technology. And so, as we look to the years coming, we’re also obviously going to be adding on to Evolution, and there’s traction being developed there as well.
Operator: Thank you. Our next question comes from the line of Michael Marino with Stephen’s, Inc. Please go ahead.
Michael Marino – Stephen’s, Inc.: Good morning. Question on, I guess, one more on the margin side, in the Fluids business. Bruce, you mentioned the possibility of some pricing kind of, I guess, headwinds if things continue to drift lower. Have you seen any pricing deterioration as if you get in fluids or is it something that – or has it today been more about mix and maybe the other businesses that have been impacting margin?
Bruce Smith: Something in the quarter, it’s been more about mix. There’s always a pricing pressure. Anytime rig count begins to decline, there’s always a pricing pressure. But to some degree, we can offset that with the Evolution side of our business, because when you have something that can enhance an overall well cost, it’s not susceptible to the same pricing pressures as the general conventional systems like oil-based muds and those other conventional systems we use.
Gregg Piontek: And the other thing to point out there is just, naturally, in this area, just like we saw one thing deteriorated significantly a few years back, this is a variable cost type of business. So you don’t have that degree of pricing pressure one way or another like you do in the fixed cost, the high investment areas in the industry.
Michael Marino – Stephen’s, Inc.: Sure, sure. And just shifting gears a little bit to Brazil. I guess some nice improvements there. What’s kind of the outlook in terms of activity levels over the next couple of quarters down in Brazil? Because I guess if I recall, profitability kind of comes and goes there. Are you where you want to be and what’s the outlook look like?
Bruce Smith: I think we’re never where we want to be, but we’re certainly well on the road now. And the profitability has been pretty good this year. The revenue increase has been pretty good this year and we see that continuing as we go forward. The Petrobras, the contract will be renegotiated at some point during 2013. We’re not sure exactly when. But we’ve been invited to continue on with that part of the contract. So we’re very hopeful that things will continue improving. And Brazil has it done all of this year.
Gregg Piontek: And the stability of the business as you pointed out in the past had been kind of choppy quarter-to-quarter, and that’s an area where they’ve really improved, because they’ve stabilized the revenue stream and the profitability over the past – really, the four quarters have been very consistent.
Paul Howes: Yes. And again, looking to the future though, although there wasn’t a lot of IOC activity in this quarter beyond Petrobras as we look out into 2013, we see a lot of opportunities with the IOCs that are in Brazil.
Michael Marino – Stephen’s, Inc.: Okay, great. Thanks for the color.
Operator: Thank you. Our next question comes from the line of Joe Gibney with Capital One. Please go ahead.
Joe Gibney – Capital One Southcoast: Thanks, good morning. Most of my questions is asked and answered, but just curious on the mat side, Gregg, if you provide a little bit of color on the boost that you got from the UK Olympic benefit. I mean, how material was that to operating income boost in the quarter from that?
Gregg Piontek: That business we saw on a sequential basis the revenues improved about $700,000 from Q2 to Q3.
Joe Gibney – Capital One Southcoast: All right, helpful. And I’m sorry. And just one last, just pulling back on the Brazil commentary. The boost in revenue, did it include any of the new addendum for completion additive [ph] that you guys had referenced last quarter? Is that more kind of ‘13 benefit lift, potential revenue flow through there? And just kind of curious on the boost.
Paul Howes: It did not include any of the addendum. That will come more – it’s more of a 2013 play.
Joe Gibney – Capital One Southcoast: Okay.
Paul Howes: So we still have that. We still have that to come.
Joe Gibney – Capital One Southcoast: Helpful. I appreciate it. I’ll turn it back.
Operator: Thank you. Our next question comes from the line of Mike Harrison with First Analysis. Please go ahead.
Mike Harrison – First Analysis Securities: Hi, good morning.
Paul Howes: Good morning, Mike.
Mike Harrison – First Analysis Securities: Just going back to fluids margins, you mentioned that the return to double digits is probably slower than you previously thought. Kind of what could make that happen faster or slower? And can you also maybe address – on the cost side, you talked about some of the progress you made, but said the weak market environment is probably masking some of that progress. Maybe give some details on areas where you’ve seen cost improvements compared to first and second quarter.
Bruce Smith: This is Bruce. I’ll take that first part anyway. The rig activity, really, is the deciding factor in how the business in North America develops and the pace at which it develops. But because we’re in kind of eve softening cycle right now, nothing dramatic falling, but just softening, in addition to the product margin side and the product mix side, we are looking very carefully at all the cost within the company, trying to manage our business more efficiently until we see how we see this market develops in North America.
Mike Harrison – First Analysis Securities: All right. And in terms of the international side for Evolution, first of all, congratulations on spudding the first well there, but can you discuss the opportunity for Evolution internationally, kind of more broadly, and talk about the timing? Is that a business that eventually could be larger than North American Evolution? And if so, how long would it take to ramp to that level?
Bruce Smith: There really are opportunities everywhere for Evolution and in the international market place. Recently, in a trip to Australia, for example, we saw some wonderful potentials for Evolution, as the operators were beginning to get some success in the shale gas plays in Australia versus the old colt-in [ph] gas plays. So if they start drawing campaigns to test up these shale gas plays, Evolution would be natural fit, for example, in that Australia market. So there’s one market that’s got a huge potential. The European market, African, Middle East, we’ve talked about, huge potential. Asia-Pacific, other places other than Australia, great potential. It’s hard to quantify exactly right now what the timing will be, what the value will be, but there’s potential everywhere to roll the system through the international business.
Paul Howes: Yes. You asked about the size of the North America market, I think the US market is going to continue to be the largest market opportunity for Evolution. That’s where we’ve got the significant amount of shale drilling going on. Our hope would be obviously once that we start penetrating the international market that we could maybe ramp up faster than what we did in the US because we’ve got a lot of proven track record behind us. And so I would expect the ramp-up international be a little bit faster, but definitely the US market is going to be the largest market going forward.
Mike Harrison – First Analysis Securities: All right. Thanks very much.
Paul Howes: Thank you.
Operator: Thank you. Our next question comes from the line of Stephen Gengaro with Sterne Agee. Please go ahead.
Stephen Gengaro – Stern Agee: Thank you. Good morning, gentlemen. I’m back on the margin progression. But when I think about fluids, when I think about sort of 7% versus the 11% plus range at the back half of 2011, can you help me understand how much of that is international, how much of that is – the mix, international and US margins, how much is cost inflation, how much is – like I’m trying to get a clear view on how to understand the margin progression going forward.
Gregg Piontek: Sure. This is Gregg. I’ll try to take that. I mean, if you compare the business overall, and I guess, first of all, you compare it geographically to where it was last year and you look at piece by piece, the international business units, first of all, Canada, as we noted, it’s running significantly below last year. The activity there is 25% below last year. So that piece is weaker than it was a year ago. The EMEA region, we talked about this transition to the new contract, and we’re still going through that and we’re seeing the ramp-up, but we’re still not back to where we were historically. So that one is still not back to where it was, but we would expect it to get there and actually move beyond on the revenue side here in early 2013. The Asia-Pacific and the Brazil side, now both of those are actually performing favorably as compared to where they were a year ago. So those helped us, but those are smaller pieces of it. Now, in terms of the US, you have a variety of issues that come to play, and still a lot of it is this kind of hangover from this transition of the gas to oil and your resources and requirements have shifted dramatically from region to region. So you go through the process of evaluating your structure and the new activity levels and adjusting your cost. And as you take costs out, they don’t come out day one. There’s transition costs, there’s severance, those types of things. So it takes a little time for it to bleed off. And then, the last thing that you add to that is we have continual changes as we’re seeing right now in the rig count. Well, as it continues to change, that just complicates things a little bit further. It causes you to relook. So it takes some time to get through those. But most of the issues there are on the cost side, recognizing that the business has shifted.
Stephen Gengaro – Stern Agee: That’s very helpful color. My follow-up would be, are you willing to rank the margins from best to worse among those areas [ph]?
Gregg Piontek: We don’t get into the disclosing of our margins at all the different regions. What we’ve said in the past is, international is always – it’s historically been stronger than the US market. You have a much more competitive market in the US business. So, yes.
Paul Howes: Yes. Typically, international revenues are going to be stronger in drilling fluids, there’s less competition, domestically there’s a significant number, smaller drilling fluids companies. So that’s been a trend that we’ve had for a number of years.
Gregg Piontek: And then the other thing that complicates that geographic profile is also within the US. We have a full divisional headquarter infrastructure so that it complicates that comparison a little bit.
Stephen Gengaro – Stern Agee: Okay. No, that’s very helpful color. Appreciate it. Thank you.
Operator: Thank you. Our next question comes from the line of Rob Norfleet with BB&T Capital Markets. Please go ahead.
Rob Norfleet – BB&T Capital Markets: Good morning. Congratulations with a great quarter.
Paul Howes: Thank you.
Rob Norfleet – BB&T Capital Markets: Most of my questions have been answered, but just one quickly on capital allocation. Can you just talk about your thoughts on capital allocation going forward? You’ve almost completed your repurchase program. Clearly, the investment in the tech center is being made. So I just wanted kind of your thoughts on that. And additionally, you’ve been successful in a few acquisitions here over the last 9 to 12 months, what do you see in terms of other opportunities to grow the business from an acquisition standpoint?
Gregg Piontek: Sure. This is Gregg. As we evaluate our options, we obviously have the choices of acquisition, continual organic investment to expand our locations and offerings as well as the third being shareholder distribution. And given everything that we had going this year and especially with our system conversion and some of the challenges in the North American environment, we had an opportunity this year to exercise a pretty significant distribution in terms of the repurchase program. As we look ahead to next year, obviously, right now, we’re in the midst of our planning process for 2013 and as we go through that and evaluate the opportunities, that’s when you begin to clarify. But similar to the Rheochem acquisition that we did last year, we’re always evaluating opportunities and ways to expand this in other discipline [ph].
Paul Howes: Yes. We’re always looking for opportunities to acquire, but as we’ve said on previous call, there’s not a lot of opportunities in the international market. There’s more domestically. But we’ll be opportunistic if something does develop. We’ve been very pleased with the Rheochem acquisition, very pleased with the share repurchase, and we’re looking for opportunities to grow this company organically as well. And the whole Brazilian business is done organically and very pleased where that business is going.
Rob Norfleet – BB&T Capital Markets: Great. Thanks so much.
Operator: Thank you. Our next question comes from the line of Bill Dezellem with Tieton Capital Management. Please go ahead.
Bill Dezellem – Tieton Capital Management: Thank you. Relative to the Mats business and the spill management product that you’ve discussed, how much of the potential of that product would say is incremental to the current market versus cannibalizing the current market, where an existing customer just simply upgrades, and maybe you do receive a little more value, but it’s certainly not a one-for-one increase?
Paul Howes: Well, it certainly is a new market, quite honestly, because most of our mats today that are used in the US in the rental side are during the drilling process. So the rig is being moved off, that mats are being moved off, and then you’ve got the frack crews that are coming on later. So we look at this as a new market expansion opportunity, and so we would hopefully see some significant revenue increase over the years to come.
Bill Dezellem – Tieton Capital Management: And to help us understand this market or this product just a little bit better, when the rig moves off the site, would the current DURA mats also move off the site and then the spill management mats would be brought on or –?
Paul Howes: No, I don’t know that we’ve got that completely figured out at this time. I mean, in some cases, certainly, the mats might move off, in other cases we may change out the ceiling system, put the polymer berms on. A lot of work to be done in this area. And what I was referencing in the dialog was that we’ll have a beta site. We’ll have our first opportunity to deploy the concept in the field. And that will give us more insight on how we would adjust it and on a go-forward basis.
Bill Dezellem – Tieton Capital Management: That’s helpful. Thank you. And then relative to the Algerian contract, what is the potential, the revenue potential relative to the third quarter revenue that was achieved.
Gregg Piontek: Well, if you look at the revenue of the region, historically, that region, which Algeria is one of the larger markets, it’s been running about $30 million a quarter. Here in the third quarter, it came in short of that. It ran about $29 million. What we have said is with the benefit of the new contract, we would expect that our run rate in the region would go up beyond that $30 million, into the low 30s, but –
Paul Howes: Another piece to remember, too, in that in the North African [ph] business is that, historically, we’ve done about $10 million in Libya. Obviously, Libya has not come back. We keep expecting to be able to start some offshore activity there. That could happen early next year.
Operator: Thank you. I’m showing no further questions in the queue at this time. I’d like to turn the conference back to management for final remarks.
Paul Howes: I’d like to thank you once again for joining us on this call and for your interest in Newpark Resources. We look forward to talking to you again after the conclusion of our fourth quarter. Thank you.